Operator: Good morning and welcome. Thank you for joining the Oaktree Specialty Lending Corporation's First Fiscal Quarter and 2021 Conference Call. Today's conference call is being recorded. At this time, all participants are in a listen-only mode, but we will be prompted for question-and-answer session following the prepared remarks. Now I would like to introduce Michael Mosticchio of Investor Relations, who will host today's conference call. Mr. Mosticchio, you may begin.
Michael Mosticchio: Thank you, operator, and welcome to Oaktree Specialty Lending Corporation's first fiscal quarter conference call. Our earnings release, which we issued this morning and the accompanying slide presentation, can be accessed on the Investors section of our Website at oaktreespecialtylending.com. Our speakers today are Armen Panossian, Chief Executive Officer and Chief Investment Officer; Matt Pendo, President and Chief Operating Officer; and Mel Carlisle, Chief Financial Officer and Treasurer. We will be happy to take your questions following their prepared remarks.
Matt Pendo: Thank you, Mike, and welcome, everyone, to our first quarter earnings conference call. We appreciate your interest in and support of OCSL and we hope everyone listening is well. We are off to an excellent start to fiscal year 2021. OCSL delivered solid results for the quarter with earnings, origination activity and credit quality all strong. We reported NAV per share of $6.85 of 5% from the prior quarter. This increase reflected both gains from the realization of a non-core investment that was previously a non-accrual as well as on-going price recovery in our liquid debt investment, which has continued since the market sell-off in March. In fact, as a result of our portfolio, strong credit quality and performance since then, our NAV as of December 31 is 3.6% higher than it was one year ago. Adjusted net investment income per share for the quarter was $0.14, as compared with $0.17 for the prior quarter. The decrease was primarily due to lower investment income compared to the previous quarter, where we generated exceptionally strong interest income in the form of medical interest and OID acceleration from the repayment of our investment in NuStar Logistics. Excluding this amount, which contributed approximately four cents to adjusted NII last quarter, earnings would have been up as a result of the portfolio's continued growth and increasing yield. Based on our consistent performance and our expectations for continued strong earnings, our Board increased our quarterly dividend by 9% to $0.12 per share, the third consecutive quarter with the dividend increase. This amount represents a 26% increase from the dividend level one year ago. We had another strong quarter of originations where we originated $286 million of new investment commitments. Of this new of these new commitments, nearly 70% were first lien loans and included $181 million in private transactions $84 million in the new issue primary market, and $22 million in secondary market purchasers. We received $161 million from pay downs and exits in the quarter, including $23 million from our exit of , a non-core position that was previously a non-accrual.
Armen Panossian: Thanks, Matt, and good morning everyone. The rebounding credit and equity markets that we saw in 2020 has continued into 2021 supported by still vulnerable, but improving economic conditions and consumer sentiment as well as exceptional fiscal and monetary stimulus. The rollout of COVID-19 vaccines and commitments by the new administration to accelerate that process provide reasons to believe we're nearing the final stages of this public health crisis, adding to investor confidence. All of that noted valuations feel elevated and might not necessarily reflect current macro conditions or the prevailing outlook for gradual economic growth this year. The ultimate pace of inoculations remains an uncertainty, and projections for GDP growth assume an end to the pandemic in the second half of calendar 2021. While hopeful, we're also cautious about assuming too much about the final outcome at this stage. With that sense of caution in mind, we continue to approach new investments defensively. We think it is important to view market exuberance with a critical eye and to avoid perilous investment opportunities. We remain focused on protecting the downside in our investments and seeking appropriate compensation for risks taken. Given Oaktree scale and resources, we are able to invest across multiple markets with diversified businesses. This enables us to focus our portfolio on stable and lower risk sectors, notably including those largely unaffected or even positively impacted by COVID. We continue to identify compelling opportunities in the life sciences and technology companies that are delivering healthcare solutions or capitalizing on the increased level of digital commerce. We're also seeing more direct lending opportunities and supportive leveraged buyouts of businesses that are proven resilient in the face of the pandemic, and ones that are not easily underwritten via traditional cash flow based technical methodologies. Finally, as we did last year, we continue to carefully study the rescue lending landscape, an area in which we have found appealing opportunities, including two investments that we made in the first quarter that I will discuss in more detail shortly. As Matt noted, we are also exiting positions in which we believe there's limited further upside, including some of our lower yielding broadly syndicated loan positions.
Mel Carlisle: Thank you, Armen. Good morning, everyone. OCSL generated strong financial results in the first quarter. Total investment income was $38.2 million, down from $43.6 million in previous quarter. The $5.4 million decline was due to lower interest income, based on lower make-whole interest and OID acceleration from loan payoffs, as Matt noted earlier. Net expenses for the first quarter totaled $28.2 million, up $9.1 million sequentially. The increase was driven by higher accrued part two incentive fees. This was partially offset by lower part one incentive fees, mainly due to the decrease in investment income. For the quarter, OCSO reported net investment income $10 million and adjusted net investment income of $19.6 million or $0.07 and $0.14 per share respectively. As a reminder, we define adjusted NII excluding capital gains incentive fees for part two incentive fees. During the first quarter OCSO approved a total of $9.5 million in part two incentive fees. This amount was mostly due to $48 million in net unrealized gains in the portfolio during the first quarter. It is important to note that while GAAP requires us to take unrealized gains into account when accruing part two incentive fee expense each quarter. OCSL will only pay part two incentive fees annually, and to the extent that it has realized gains that exceed realized and unrealized losses at year end. Turning to credit quality which continues to be very strong. As Matt noted, at quarter end, we had one investment non-accrual representing three basis points of the total portfolio at fair value down from 10 basis points in the prior quarter. The decrease was primarily due to the successful exit of Edmentum, where we realize a full power recovery on our debt investment, and reported a total gain of $23 million. During the quarter, all of our portfolio companies made their scheduled interest payments. And since March, only one company has converted its cash interest payments to pick.
Operator:  And the first question will come from Devin Ryan of JMP Securities. Please go ahead.
Devin Ryan: Hey Great there. Good morning, everyone.
Armen Panossian: Good morning
Devin Ryan: First question here just given the overlap between OCSL and the OCSI, on the investment side and expectations that the merger will be relatively seamless. It would be great if you could give some additional granularity on expectations for the cadence of investment activity in the coming quarters as it repositioned the two portfolios. And what I'm trying to get at here is you hear the comments about, very strong pipeline, and obviously expectation for investment versus some of the comments around valuation and market exuberance and just trying to think about your kind of the push pull in all of that.
Armen Panossian: Sure, Devin is Armen. So in terms of overlap with OCSI, and then the cadence of investing after the merger is closed. So in terms of non-overlapping investments that you know are in OCSI, but not in OCSL. It's about 33% of the OCSI portfolio at this point, of which 25 percentage points are actually public securities that can be traded at about, 47 million or so million dollars of par value of private positions, that will take a little bit of a longer time to, to rotate. So it's a pretty manageable rotation after the close of the merger, that that we can effectuate, we think that we can effectuate rotation, but that will obviously as you alluded to, will be predicated on our ability to continue to originate attractive loans. Just maybe, maybe we could talk a little bit about the markets, I'm sure others will be asking about what we're seeing in the market these days. And I would say, as you know, in private credit there, it's not like you can take all of private credit with the same paintbrush, there's, middle market sponsor finance and in support of LBOs, or some mezzanine within that their second lien. And then, more typically of what we like doing are the non-sponsor loans that are harder to predict the timing of, they're more structured, they're harder to find they are, they take longer to execute. And so that's kind of the other side of what we what we do here. What I would say is that on the sponsor side, especially the more typical first lien, or unitranche loans, that market is back to pre-COVID competitive levels, whereby your private equity sponsors are coming to market, there's, they're blasting out pitch decks to a variety of middle market direct lenders. Pricing has taken a little bit of a hit not as much as one would think. But legal terms are taking a hit in terms of covenant light and other flexibility around covenants and other terms in these credit agreements. So for us, we're finding yet again, that we are rejecting a whole lot more of that deal flow or just finding it less interesting than we are committing to it and, and so, we're turning over a lot of stones with very few investments. With that said, we will continue to do some middle market sponsor finance, especially with those sponsors that are very close relationships of Oaktree that we think have a operational advantage in particular sectors. We have a few things in the pipeline now already with sponsors that meet that description. And so, we expect that we will still originate some deals there, but we are not going to be the typical, flow first lien or unitranche lender out there VDC or otherwise, that is willing to kind of cave on legal terms. In fact, we would be more willing to cave on financial terms than on legal terms, just given the background of Oaktree as a downside focused lender. On the other side of the house the more sort of opportunistic, non-sponsor side, as Matt and I mentioned, we've been active over the last several quarters in rescue, lending or providing liquidity to sectors and companies that are experiencing some level of dislocation due to COVID. We don't expect for that opportunity to fully go away even with the positive reaction that the market has shown over the last several quarters. But it certainly has declined. The pace of our deal flow has declined. We were engaged with a very large issuer, over the last couple of quarters on a rescue owned in partnership with our opportunities funds. And with the exuberance in the markets, they essentially were able to place a bond, several 100 basis points tighter than what we were willing to provide them in the public market. So we recognize that the public markets are taking opportunities from us. But with that said, many industries, many businesses are going to continue to need capital over the next several quarters. And we will engage in highly structured solutions for those companies. In that same theme of non-sponsor lending, our activity in the life sciences area continues to be robust. We were very active last year, in life sciences. We have a few deals that we're considering right now in the pipeline that are very attractive, consistent with our with our prior structures and return expectations. And we expect we'll continue to do that. So I know that I kind of went around the world a little bit there on the market color. But we feel pretty good that we will be able to transition the OCSI portfolio over a few quarters, it's not going to be over one quarter, to an OCSL type portfolio. Well within, the one or two years that we've contemplated, it will take just given the strength of our pipeline, especially in the non-sponsor area. And it helps that so much of the non-overlapping positions are publicly traded securities that, frankly, are trading quite well and during the current under the current market circumstances.
Devin Ryan: Okay, that's terrific color, I think Armen. And then maybe just a follow up here, this one might be difficult, but you've had three consecutive quarters of increasing the dividend, which is great. I'm not sure if you can maybe just help us think about the outlook for the rest of 2021. And the trajectory and if you can't give kind of specifics, what should investors be looking for, in order to think about kind of the dividend continuing to trend higher from here?
Armen Panossian: Yes, thanks for raising the question. We really were not to provide forward looking guidance on things like dividends or earnings. We feel really good about the portfolio, the income, it's generating, and our pipeline. But to make predictions, I think forward looking with something that we're just not comfortable doing right now, unfortunately.
Matt Pendo: And I think it's, it's Matt. The other thing Devin, just, that, that we're thoughtful. We've, we have, as you pointed out, we raised the dividend last three quarters. We've also had in the September quarter, we had a large kind of one time item through the new stock payment, which flows through investment income. This past quarter, we had oven that, again, also flowed through investment income. So we want to be mindful of those one-time items. If you take, if you take those out and just look at our investment performance, going back to a year ago, it was $0.10 a year ago, was, $12.02 in September quarter, and $12.4 in this quarter. So looking at kind of that underlying kind of quarter end kind of recurring portfolio and income is if we were to look at one thing that's going to what we're very focused on as we as the Board thinks about the dividend.
Devin Ryan: Okay, very helpful. I'll leave it there. Thank you guys. Appreciate it.
Operator: Thank you. The next question comes from Kyle Joseph of Jefferies. Please go ahead.
Kyle Joseph: Hey, good morning. Thanks for taking my questions. Congratulations on another strong quarter. Start on your net interest margin, if you don't mind. Just, give us a sense for on the yield side of things. Obviously, it sounds like spreads have tightened but there's still some on-going portfolio rotation opportunities. So give us a sense for how you've seen the portfolio yield trending. Obviously, it's been trending in the right direction. And then on the cost of funds side are we kind of at the at the bottom here. Are there any opportunities to reduce that and give us a sense for both of those and we can figure out in margins?
Matt Pendo: I'll go first. I think on the liability side, we've got, obviously the unsecured notes the cost on that. And, then we have the revolver, we've increased, we've gotten some really strong support from our Banking Group. And decrease the size of that over the last two quarters, and obviously have a lot of capacity there. So kind of the next the next dollar that we need to borrow, we would borrow from LIBOR, which is LIBOR plus 200. So I think that's pretty solid. On the asset side, the last quarter, the yield was 8.7%, you saw the yield on the assets rolled off was, was obviously lower than that. So we don't Armen's point, I want to kind of predict what the asset yields going to be each quarter and what's going to roll off. But, if you look at what we did last quarter, and you will get, the other besides drawing the revolver, the other place, we go to fund assets, would be the seller, low yielding assets, and you just pick up a spread on the assets. So, if something comes off it at LIBOR plus, 500, 400 and goes on, LIBOR plus 700, 600, there's that spread. It's just it is hard to predict, kind of each quarter, what the -- what's going to be refinanced. We've seen more in the end of last quarter, and so far this quarter, there's been more refinancing activities as the market has been robust. So it's just hard to predict that because a quarter ago, we weren't seeing that and that will ebb and flow. But I think that gives you a sense, kind of what we're trying to do on the asset side in terms of new origination on the asset side in terms of selling the lower yielding assets. And then on the liability side.
Kyle Joseph: Yes, that's very…
Armen Panossian: If you look at our origination in the last couple of quarters, I mean, that's consistent with where we would like to continue to originate. So it's not like we are looking to go tighter than that. And we're certainly not looking to take equity like risk and anything we originated. So that's really the origination you're seeing from us. That's kind of where our intention is going forward. And we do have you just look at our positions and we do have a significant enough portfolio. In OCSL that is yield that has a coupon of LIBOR plus 450 or lower, that can be rotated now. It'll it's predicated on the pace of our repayments as well on positions that we would ordinarily have liked to have kept by just giving the market with market strength. Those are being, to some extent taken from us. But we are, we certainly have a targeted portfolio that we would like to exit and rotate into higher yielding instruments consistent with our cup last few quarters of origination.
Kyle Joseph: Got it, very helpful. Thanks. And then I'd like to ask one on credit. Obviously, it's been very solid and way better than we would have initially expected last spring. But can you give us a sense for kind of amendment activity trends you're seeing? I know, you mentioned that only one investment had moved to pick, and then just give us a sense for revenue and EBITDA growth or performance in the fourth quarter, and how that compared to the third quarter for the portfolio broadly?
Armen Panossian: Sure, this is Armen. So yes, on the amendment side, it's been very quiet. We continue to only have one name on non-accrual and one name that is subject to an amendment or a pick. We have not been contacted or not engaged with any other kind of material issues in the portfolio or around poor performance. So we feel really good about we will feel really good about that. I don't expect for us to have a meaningful uptick in defaults in based on the information at hand today. In terms of performance of the underlying companies, it's hard to generalize, but I would say that those industries that are most sensitive to COVID and I would say we do have some exposure there. We have, we have some entertainment related businesses that are, focused on live events. We have some leisure oriented positions, and these are these are not very large positions in the portfolio. But we do have some. Those two areas, as well as some of the airline oriented and aerospace and defense oriented businesses that we have are the most impacted from a top line perspective. Obviously businesses with exposure to live events are at very little to no revenue and they are in cost cutting mode, cash flow preservation mode. In the instances where we have exposure there, the companies are sitting on a lot of cash and have very strong sponsor protection. And in several of those situations are not that there are so many situations, but in most of them, there are recent buyouts by sponsors. And the when we did reach out to those sponsors over the course of the last 12 months, the response was, we'll let you know, if we need incremental liquidity, we don't think we will, we think we can manage the cash. And by the way, there's no way we're letting this go. So, don't think that you have a distressed opportunity on your hands. So it's been, it's a very positive now those businesses are most directly impacted, their revenues could be down as much as 70% or 80%. Year-over-year, more typical is down 30% or 40%, year-over-year, in these very deeply impacted sectors. But away from the most COVID sensitive names the revenues, especially in the last couple of quarters, have been flat to slightly up year-over-year. And in some cases, there are businesses that we've invested in that have benefited from COVID, including fast food restaurants, including the life sciences businesses, that have been, nice surprises to the upside. The technology oriented businesses that provide, cloud, cloud computing related services are doing quite well, as one might imagine. We've been involved with a few recent tech LBOs, in the last couple of quarters around that are that provide services for remote computing, they've been doing really well. So again, it's kind of all over the all over the place. And thankfully, we just don't have very much exposure that is deeply exposed to COVID. And where we do have that exposure, the companies either have the ability to cut costs, essentially to the bone, or they have a very strong sponsor, standing behind them and willing to put in money, if and when it's if and when it's not needed.
Kyle Joseph: Got it. Very helpful. Thanks a lot for answering my questions.
Armen Panossian: No problem. Thank you.
Operator: The next question comes from Finian O'Shea of Wells Fargo Securities. Please go ahead.
Finian O'Shea: Hi, everyone. Good morning. Just a first question on OCSI. For those of us who are a little less familiar. You put the Glick JV onto non-accrual due to COVID volatility. That's obviously a big investment that weighs a bit on portfolio yields. Are you able to update us on how you think about that? On being non-accrual that is.
Armen Panossian: Sure. We worked on non-accrual this last quarter as well. And as you know it is related to COVID related volatility or sensitivity, the assets that Glick JV have appreciated in value fairly considerably over the last few quarters. And so we will consider bringing back that, that position on off of non-accrual every quarter. We will always consider that we didn't feel comfortable doing it this quarter and we will re-evaluate next quarter. I don't want to provide forward looking guidance, but we're happy about the performance of the underlying assets, both in terms of lack of default experience, but also in terms of market price appreciation.
Matt Pendo: I'll also add in that although we are not accruing interest on the JV, it is generating positive net investment income. And we're using that to pay down the subordinated notes and grow NAB there. So that is a benefit to shareholders.
Finian O'Shea: Yes, very well, thank you.
Matt Pendo: On the note that we have on the Glick JV is actually marked higher today as the top 31 that versus 1231 2019. So just to give you a sense of, how our, our perception or our feeling around that position.
Finian O'Shea: Okay, thank you. And then on one of your legacy names in OCSL Dominion Diagnostics that has been pulling on the revolver. It looks like a little more this quarter. Are you able to give us any color on what's behind that?
Armen Panossian: Sure. So Dominion, actually is a beneficiary of the pandemic. They are pretty actively involved with COVID testing. The Company is actually performing as a result of that better than what we'd have expected. It's certainly, its core business. It's certainly still suffering, but it's doing better than what we thought I would need to get back to you on the details, but I have around the revolver drawer in particular, but I know that the business has needed to staff up as well as by working capital in support of this COVID testing business.
Finian O'Shea: Okay, thank you. And just a small final question. Obviously a very good quarter for you guys on NOI and NAV just on a Edmentum being exited. I assume there was some top line income that you received that's been on non-accrual for a while. Was that? Is that correct it for one? And was that material impacts to your top line? The Edmentum income that you may have realized this quarter.
Armen Panossian: I'll ask Mel or Matt to answer that question. I’m not sure.
Mel Carlisle: Sure. Sure. And in terms of Edmentum, the majority of the income generated there was below the line as realized gain. As I mentioned in my prepared remarks, it was about 23 million. Okay, that wasn't a lot in an investment income.
Matt Pendo: Yes, is immaterial. It's not like we can go back and recognize interest income. But during the time it was a non-accrual. So we directly recognize a small amount in the current quarter, but the majority was realized gains.
Finian O'Shea: Okay, thank you.
Operator: The next question comes from Melissa Wedel of JPMorgan. Please go ahead.
Melissa Wedel: Good morning. I wanted to touch base quickly on some of the new deployments this quarter and comparing that to sort of the levels and yield from last quarter. I want to make sure I'm thinking about this right. But your slide deck was showing about 240 million deploys this quarter at a an average yield of 8.7% versus, 146 last quarter at 10.6%. So can you provide some context around that? And if there's anything sort of missing from that number that we should be factoring in?
Matt Pendo: Yes, thanks for the question. So, the quarter ended September 30, obviously began, July 1, and during those summer months, the activity around rescue loans in particular was higher than what it was in the following quarter for the quarter ended 1231. And, frankly, what we're seeing today in the market. So we were -- our yields were highly coral or the yields on our new investments, new originations are highly correlated with that rescue lending opportunity. When that as that opportunity has subsided, we are dealing with issuers that are far less desperate and have potentially other options as those opportunistic lenders and middle market direct lenders that were fairly frozen in the second calendar quarter. They started coming back towards the towards the mid to late part of the calendar third quarter, the quarter ended September 30. So the rescue lending, it's really the rescue lending part of the business that was driving, those double digit type yields. And, as that has declined, so has our average yield to originations.
Melissa Wedel: Okay.
Armen Panossian: And we also just know, there was one position that we originated, in the month of August, might have gotten funded early September, that was a 14% loan to a single borrower, and it was it's a decent size, it's the new Ag transaction. It probably skewed that quarter a little bit, because of that one transaction. And those we continue to look for those types of deals. That is not a rescue loan. Actually, that is just a highly structured and, frankly, pretty interesting one. We will always will always look for these non-sponsor transactions, but this is just evidence that part of our business can be quite lumpy. We might have a quarter where we do very little in the non-sponsor area that we might have a quarter like the quarter ended September 30, where we have a new Ag or a new star or something like that, that really, one or two deals might massively skew the average.
Melissa Wedel: Okay, understood, that's really helpful. I guess, as a follow up on that, do you see as much visibility into sort of a repayment pipeline? Anything big you are expecting?
Armen Panossian: Yes, I can't put numbers on it. But, if you follow the broadly syndicated loan market, that is a pretty good indication for what we expect to see in the middle market landscape as well, potentially on a lag basis. In the broadly syndicated loan market, the best 90% of that market. So if you exclude the bottom 10%, because of default risk, or just trading low for idiosyncratic reasons, that best 90% is trading pretty close to par or even above par at this point. And it's resulted in the month of January in a significant repricing wave in the broadly syndicated loan market. And in fact, we, we had seen a couple of second lien positions, that we recently clubbed up and took on in 2020 get repaid through the upsizing of a broadly syndicated first lien. And so the upsides, the first name, and take out the entirety of the second lien to reduce their cost of debt. It's hard for me to predict the volume of that impact on a go-forward basis. But the market color that I would give you today is that especially in the month of January, it's become quite active. And it's not surprising, given the fact that there's been so many inflows, retail inflows into broadly syndicated loan funds, as well as CLO creation that has driven those prices, prices higher. And the broad one last data point for you. On the broadly syndicated loan market, the index was up about 135 basis points in the month of January alone. That's a very, very big month. And it's driven by the technicals there. I expect that given that technical and given such a strong fundraising year in 2020, but also in the last few quarters, just middle market, direct lending funds have been very actively fundraising, I would suspect that there would be an increase in repayment activity in the more flow oriented LBO backed part of the market. That's just a part of the market that's very heavily trafficked. And, and the call protection is not material. It's typically only about a year, and then some elevated call premium. So I would expect some repayment activity to pick up even in the middle market over the next couple of quarters if these current market technicals persist.
Melissa Wedel: Okay, great. Thanks so much.
Operator:  We have no further questions, Mr. Mosticchio.
Michael Mosticchio: Great. Thanks, Andrea. And thank you all for joining us on today's earnings conference call. The replay of this call will be available for 30 days on OCSL’s website in the investor section, or by dialing 877-344-7529 for U.S. callers or 1-412-317-0088 for non-U.S. callers with the replay access code 10151069 beginning approximately one hour after this broadcast.
Operator: The conference has now concluded. Thank you for attending today's presentation and you may now disconnect.